Operator: Good day, and welcome to the IDT Corporation's Second Quarter Fiscal Year 2020 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three month period ending January 31, 2020. [Operator Instructions]. After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer, will join Mr. Jonas for Q&A.  Any forward-looking statements made during the conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those in which the company anticipates.  These risks and uncertainties include, but not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those they forecast.  In their presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule providing the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measure.  Please note that IDT's earnings release is available on the Investor Relations page of the IDT Corporation website at www.idt.net. The earnings release has also been filed on Form 8-K with the SEC.  I will now turn the conference over to Mr. Jonas. Please go ahead, sir.
Samuel Jonas: Thank you, Operator. Welcome to IDT's Second Quarter Fiscal 2020 Earnings Call covering results for the 3 months ended January 31, 2020. I'm joined today on the call by Marcelo Fischer, IDT's Chief Financial Officer. For a more detailed report on our financial and operational results, please read our earnings release filed earlier today and our Form 10-Q, which we will file with the SEC next week.  During the second quarter, we continued to invest in our higher growth and higher margin businesses, including net2phone, National Retail Solutions and Money Transfer while maximizing the cash generation of our core offerings. As in prior quarters, this investment was funded entirely from core cash generation.  The second quarter's financial results reflect the growing margin impact of these new businesses and a stable contribution from our legacy core offerings, even as core revenues continue to decrease in line with expectations. In our net2phone business, subscription revenue for our cloud-based unified communications offering grew by 42% year-over-year to $7.5 million. We added 11,000 net seats from organic growth this quarter bringing our cumulative total seats served as of January 31 to 123,000 seats, exclusive of the impact of the RingSouth acquisition during the second quarter.  RingSouth, a highly regarded Spanish UCaaS provider gives us the foothold to address the broad EU market with an initial focus on Spain. As I mentioned last quarter, we are also accelerating software development and deployment of new net2phone platform features to drive larger account wins. For instance, we recently released an integration solution with Microsoft Teams. Teams is Microsoft's collaboration platform that facilitates communications, sharing and collaborative work within groups and organizations. With our integration, Teams users can now access net2phone services, including unlimited international calling from inside the Teams environment. This integration, in combination with others, we'll be releasing later this year, will enhance net2phone's ability to address enterprise market customers, and we have already started to see the benefits this quarter with a 500-plus seat deal and multiple other large deals.  In our NRS business, revenue in the second quarter was roughly in line with our expectations, increasing 35% year-over-year to $2.1 million, but decreasing from $2.4 million in Q1. One of the reasons for the lower revenue was that we incentivized new retailers to sign up for both NRS Pay and our POS. In exchange, they received a discount of approximately 33% of their purchase. That's a great deal for them and for us. NRS Pay is our payment processing solution that enables retailers to accept all major funds of electronic payments, including credit card and debit cards as well as electronic benefits transfer or EBT and soon WIC. Because of the service's compelling economics, new NRS Pay retailers quickly generate more than enough incremental margin to cover the discount on the terminal. Nevertheless, in the second quarter, revenue from the sale of new POS terminals was negatively impacted by this change. NRS continued to expand its retailer customer network in the quarter, deploying over 750 POS terminals. At January 31, the NRS network comprised approximately 8,700 active terminals.  In our BOSS Revolution international money transfer service business, revenue increased 45% year-over-year to $7.7 million. Last quarter, I mentioned that we were working hard to grow retailer origination transaction volumes. That approach is working well with year-over-year transaction growth exceeding 60% for the quarter. In our core offerings, we have been continuing with an industry-wide decline in the payment and telecommunication market for years. These headwinds drove a year-over-year decrease in core of approximately 9% of revenue or $29.9 million to $301.2 million. However, the margin contribution percentage of our 3 largest core offerings, BOSS Revolution Calling, Carrier Services and Mobile Top-Up all increased year-over-year, offsetting virtually all of the revenue impact on our bottom line. The stable contribution from the core businesses, in combination with the expansion of our higher margin growth businesses resulted in an increase in consolidated revenue less direct cost of revenue to $61.2 million, the highest it has been in any quarter since fiscal 2016, exclusive of an outlier in Q4 2018.  Income from operations was $1.3 million in the second quarter compared to a loss from operations of $457,000 in the year ago quarter and a loss from operations of $1.4 million in the first quarter. Adjusted EBITDA was $7.4 million, unchanged from the year ago quarter and slightly increased from $7.3 million in the first quarter.  Overall, this quarter's results were consistent with recent quarters, with growth from our new businesses and stable margin contribution from our core and our growth accelerated into the quarter end.  Now Marcelo and I would be happy to take your questions.
Operator: